Operator: Good morning. My name is Jerome, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the BlackRock Incorporated Second Quarter 2021 Earnings Teleconference. Our host for today's call will be Chairman and Chief Executive Officer, Laurence D. Fink; Chief Financial Officer, Gary S. Shedlin; President, Robert S. Kapito; and General Counsel, Christopher J. Meade. [Operator Instructions] Thank you. Mr. Meade, you may begin your conference.
Christopher Meade: Thank you. Good morning, everyone. I'm Chris Meade, the General Counsel of BlackRock. Before we begin, I'd like to remind you that during the course of this call, we may make a number of forward-looking statements. We call your attention to the fact that BlackRock's actual results may, of course, differ from these statements. As you know, BlackRock has filed reports with the SEC, which lists some of the factors that may cause the results of BlackRock to differ materially from what we say today. BlackRock assumes no duty and does not undertake to update any forward-looking statements. So, with that, I'll turn it over to Gary.
Gary Shedlin: Thank you Chris and good morning everyone. It’s my pleasure to present results for the second quarter of 2021. Before I turn it over to Larry to offer his comments, I'll review our financial performance and business results. While our earnings release discloses both GAAP and as adjusted financial results, I'll be focusing primarily on our as adjusted results. Last month at our 2021 Investor Day we highlighted how the investments we have consistently made to support growth have enabled us to execute on our framework for shareholder value. We have invested and evolved over time to create a globally integrated investment and technology platform that enables clients to construct resilient whole portfolios that meet their objectives regardless of market enjoinment or risk appetite. And we continue to invest in our industry-leading high growth franchises such as ETFs, private markets and technology and they are accelerating investments to drive growth in our ESG traditional active and solutions capabilities. The combination of our comprehensive and integrated investment platform with global and local distribution capabilities once again delivered strong results for the quarter, and we remain very well-positioned to continue delivering differentiated organic gross in the future. BlackRock generated total net inflows of $81 billion in the second quarter, representing 4% annualized organic asset growth. As previously disclosed, second quarter net inflows included the full impact of a $58 billion low fee institutional index redemption from a large U.S. public pension client. Strong net inflows from ETFs and our entire active franchise once again contributed to this quarter's robust 10% annualized organic base fee growth. Over the last 12 months, our broad based platform pairing diverse investment capabilities with best-in-class technology and rigorous risk management has generated over $500 billion of total net inflows, representing 13% organic base fee growth well in excess of our 5% long-term target.  Second quarter revenue of $4.8 billion increased 32% year-over-year and operating income of $1.9 billion rose 37%. Earnings per share of $10.03 was up 28%, also reflecting lower non-operating income and a higher effective tax rate compared to a year ago. Strong year-over-year comparisons benefited in part from significant improvements in equity market conditions versus a year ago. Non-operating results for the quarter included $145 million of net investment income, primarily driven by mark-to-market gains in our private equity coinvestment and unhedged seed capital portfolios. Our as adjusted tax rate for the second quarter was approximately 24%. We now estimate that 24% is a reasonable projected tax run rate for the remainder of 2021, primarily reflected an increase in certain tax -- state tax rates though the actual effective tax rate may differ as a consequence of non-recurring or discrete items or potential changes in tax legislation during the year. Second quarter base fee and securities lending revenue of $3.8 billion was up 27% year-over-year, primarily driven by the positive impact of market beta on average AUM and strong organic base fee growth, partially offset by higher discretionary money market fee waivers, lower securities lending revenue and strategic pricing investments over the last year. Sequentially base fee and securities lending revenue was up 5%. However, our effective fee rate was down 0.3 basis points, as strong organic base fee growth driven by our higher fee active businesses and the impact of one additional day in the current quarter were more than offset by higher discretionary money market fee waivers and the impact of divergent equity beta in the quarter. During the second quarter, we incurred approximately $165 million of gross discretionary yield support waivers driven in part by continued strong flows into our U.S. government money market funds. While the Fed's recent technical adjustments to the IOER and RRP have modestly helped, we still expect discretionary fee waivers to persist at or around current levels for the new term. However, future levels of discretionary fee waivers may also be impacted by several additional factors, including the level of AUM and funds with existing waivers, gross yields and competitive positioning. Performance fees of $340 million were up significantly from a year ago, reflecting strong performance across our entire investment platform, including liquid and illiquid alternatives and long-only strategies. Quarterly technology services revenue increased 14% from a year ago, while annual contract value or ACV increased 16% year-over-year, and continued to reflect strong growth from the second quarter of 2020, which was impacted by slower sales and extended contracting in the early days of the pandemic. We remain committed to low to mid teens growth in ACV over the long-term. Total expense increased 29% versus the year ago quarter, driven primarily by higher compensation, direct fund and G&A expense. Employee compensation and benefit expense was up 34%, primarily reflecting higher incentive compensation driven by higher operating income and performance fees and higher deferred compensation, reflecting the impact of additional grants associated with prior year compensation and certain compensation arrangements related to a previous acquisition. Direct fund expense increased 30% year-over-year, primarily reflecting higher average index AUM. G&A expense was up $73 million or 19% year-over-year, primarily driven by higher technology portfolio services and marketing spend. Sequentially, G&A expense was down $124 million, reflecting the impact of approximately $180 million of product launch costs incurred in the first quarter, partially offset by higher technology and marketing spend. Intangible amortization expense increased $10 million year-over-year as a result of our Aperio acquisition. Our second quarter as adjusted operating margin of 44.9% was up 120 basis points from a year ago, benefiting in part from significant equity market improvements over the last year.  BlackRock has never been positioned -- has never been better positioned to take advantage of the opportunities before us. And we remain committed to optimizing organic growth in the most efficient way possible. Our capital management strategy remains first to invest in our business, including through prudent use of our balance sheet, and then to return excess cash to shareholders. We see incredible opportunity to make Aladdin the language of all portfolios and are investing to evolve Aladdin for its next leg of growth. As Larry will discuss in more detail, during the second quarter, we announced a partnership with Baringa, including the acquisition of their industry-leading climate change scenario model, which will enhance Aladdin Climate's capabilities and set a new standard for climate analytics.  In addition, yesterday we announced a minority investment in SpiderRock Advisors, a tech enabled asset manager, focused on providing professionally managed option overlay strategies. This investment adds incremental product capabilities to our recent acquisition of Aperio and extends our market leading personalized SMA franchise. We also repurchased an additional $300 million worth of shares in the second quarter and stand by previous guidance as it relates to share repurchases for the remainder of the year. As we discussed at Investor Day, our strong and resilient platform has never been better positioned to deliver for clients as we leverage our scale, unique insights and solutions orientation to meet their long-term investment needs. Quarterly net inflows of $81 billion reflected continued momentum across our entire investment business, especially in our ETF and active platforms. Our ETFs generated net inflows of $75 billion in the second quarter, representing 11% annualized organic asset and base fee growth. We also crossed $3 trillion in assets globally for the first time. Core equity and higher fee precision ETFs continued to generate strong inflows, particularly in international equities. However, most of our growth this quarter came from the strategic category led by continued strength in our sustainable ETFs and renewed strength in fixed income, as well as steady positive flows into factor and thematic ETFs. Retail net inflows of $21 billion representing 9% annualized organic asset growth and 10% annualized organic base fee growth were positive in both the U.S. and internationally and across all major asset classes. Inflows continued to reflect broad based strength across the entirety of our active platform, and we remain well-positioned to capture demand for both active equities and an investor appetite for yield where our diversified fixed income range, including unconstrained high yield international and broad market strategies is equipped to meet client demand in any rate environment. BlackRock's institutional active net inflows of $43 billion were led by $35 billion of multi-asset net inflows, largely driven by a significant outsource CIO mandate from a U.K. pension client. As Larry will also discuss, BlackRock is uniquely positioned to deliver customized hold portfolio solutions by capitalizing on our global scale, expertise and investment technology in risk management and focus on sustainability. During the second quarter, we also saw continued demand for active fixed income and the liquid alternatives and LifePath target data offerings. Institutional index net outflows of $80 billion were impacted by the previously mentioned single client redemption during the quarter. Outflows from index equities were partially offset by inflows into fixed income, as clients rebalanced portfolios after significant equity market gains were sought to immunize portfolios through LDI strategies. Despite overall asset net outflows across BlackRock's institutional franchise for the quarter, annualized organic base fee growth was 6% as net inflows into higher fee active and alternative strategies more than offset the de minimis base fee impact of low fee index equity outflows. Overall, BlackRock generated approximately $63 billion in quarterly active net flows across the platform, notching our ninth consecutive quarter of positive active equity flows. Demand for alternatives also continued, with nearly $7 billion of net inflows into liquid and illiquid alternative strategies during the quarter, driven by single strategy hedge funds, fund of hedge funds solutions, real assets, private credit, and private equity solutions. Fundraising momentum remain strong, and we have approximately $31 billion of committed capital to deploy for institutional clients and a variety of alternative strategies, representing a significant source of future base and performance fees. Finally, BlackRock's cash management platform continued to grow, generating $23 billion of net inflows in the second quarter, driven by both prime and U.S. government money market funds. Despite facing net zero returns in both the U.S. and Europe, client demand for cash strategies remained strong, given the significant liquidity in the financial system and by helping clients manage their cash, we are building broader and deeper strategic relationships. Our continued strong performance is a direct result of a thoughtful growth strategy that has been well executed by a talented group of purpose-driven employees who live the one BlackRock culture each day. We are thankful for their tremendous effort and contributions to our success over these last 18 months. We will continue to embrace change and invest responsibly for the future, so that we can meet the needs of all of our stakeholders. With that, I'll turn it over to Larry.
Laurence Fink: Thank you, Gary. Good morning everyone and thank you for joining the call. We are once again reporting earnings today from our headquarters in New York City, and I'm happy to see more and more of our colleagues in the office in recent weeks and I remain cautiously optimistic for a gradual return to having people back in the office and a little normalcy. After more than a year of virtual meetings, I spent the last few weeks meeting with clients in-person again. I also spoke at the G20 in Venice on Sunday about sustainability and climate change, and it was great to be back on the road. Our business is built on listening to the people we serve and understanding their needs. And there is no substitute for meeting face-to-face with people to hear directly from them about their investment challenges, their opportunities, and what lie ahead for them. It is through these conversations that we're able to build a deeper relationship with our clients across their whole portfolio and to ensure BlackRock is always evolving and staying current and staying in front of their needs. This longstanding client centric approach is powering consistently strong results for the benefit of all our stakeholders. Total net inflows of $81 billion in the second quarter, representing a 10% organic base fee growth were driven by continued momentum and strategic growth areas. We saw client demand in our ETF and illiquid alternatives are active and sustainable strategies, as well as our scaled cash management solutions. And we developed 14% year-over-year growth in technology services revenues, as clients increasingly turned to Aladdin. We have now delivered organic base fee growth in excess of our 5% target for five consecutive quarters, including 13% over the last 12 months from over $500 billion of net inflows. This is driving strong financial performance, and I'm very confident that we have significant room to grow, as we are partnering with more clients on larger and more comprehensive mandates than ever before in our history. The global economic restart continues to broaden in the second quarter as vaccinations were rolled out and some countries are gradually reopening. With significant amounts of cash still in the sidelines, markets are anticipating continued growth near-term, despite the potential for various restrictions in certain regions, certain countries due to the variant. We have seen equity markets rally year-to-date with most indexes up over 10% for the first half of the year and hitting record highs. We look ahead to the remainder of the year and beyond. Inflation concerns top of mind for investors who need to assess the potential impact on their portfolios. Debate remains as to whether this inflation will be transitory or structural and central banks will need to balance their monetary policy decisions alongside expansive fiscal policy by so many governments. In this environment, clients are looking for scaled partners who have a deeper understanding of the global picture and a platform that can construct portfolios tailored for their needs and for their future goals. They're turning the BlackRock to help them navigate uncertainty. They're turning the BlackRock to invest more opportunistically and they're turning BlackRock to help them plan for their future and our deliberate investment over many years to build a resilient and scaled asset management and technology platform is helping them in their needs. And we are delivering for them. Building on what we laid out at our Investor Day last month, we remained focused on consistently improving and investing ahead of our client's needs and the biggest growth areas of the future. And ETFs, the benefit of our investments over time are showing up through accelerated momentum across the franchise. In June client assets and our ETF past $3 trillion globally, driven by second quarter net inflows of $75 billion. It took 15 years for iShares to get to $1 trillion in assets. It took iShares only five years to get to $2 trillion in assets. And it just most recently took iShares only two years to get to $3 trillion. Importantly, the more majority of this growth at each milestone has been organic, as more investors are you using ETFs in more ways. They are using the built whole portfolios. There are using iShares to invest beyond traditional market cap weighted indexes, and they're using iShares more than ever before to access the bond markets efficiently. Our ETFs grew across each of our core, our strategic and precision product categories, whether with more than half of our net inflows coming from our strategic categories, led by fixed income and sustainable ETFs. We saw more than $22 billion of net inflows into our fixed income ETFs as investors sought more efficient ways to access fixed income and turn to us for a more broad range exposure, including Chinese bonds, multi-sector municipal bonds, inflation leaked ETFs. We now manage more than $700 billion in fixed income ETFs, and continue to believe that this category will grow to a $1 trillion by 2024 as fixed income ETF modernize the $100 trillion bond market. Momentum in sustainable ETFs remained strong, with another $14 billion of net inflows in the second quarter. Including the launches of our low carbon transition readiness ETF, we have seen $30 billion in net inflows into sustainable ETFs in the first half of 2021 compared to $46 billion in all of 2020. With nearly $120 billion of sustainable ETFs, BlackRock has four times the size of the next sustainable ETF player. And we are incredibly well-positioned for the future for our client's needs in this fast growing category. Demand for sustainable strategy is accelerating from investors worldwide in both index and active. Within active sustainable strategies, we saw $4 billion of net inflows in this second quarter. Sustainable investments offer significant opportunities to generate alpha for clients. And we are focused on innovating ahead of their needs. For example, we announced last week the first close for the Climate Finance Partnership, we'll invest in Climate infrastructure across emerging markets. This strategy is a great example of how public and private sectors can come together to deliver positive environmental and socially impact for communities and attractive risk adjusted returns for clients, including global institutional investors, for governments and for philanthropies. BlackRock's broader active platform is playing an increasingly important role in our client's portfolios. And we're seeing the benefits of our investment in our growth and our investment performance. We generated $63 billion of active net inflows in the second quarter across equities, fixed income, multi-assets and alternative strategies. This growth is outpacing that of the $70 trillion active management industry, as we continue to captive active market share. Long-term investment performance is strong with over 85% of our fundamental active equities, systematic active equities, taxable fixed income assets outperforming the benchmark or peer mediums over the past five years. By delivering durable alpha for clients, we remain well-positioned to continue to generate growth in active strategies. More clients are looking to outsource their entire portfolio, as regulations intensify, operating costs rise and investing grows more complex. They want customized solutions, spanning active index alternatives powered by sophisticated technology and risk management. The breadth of BlackRock's investment platform, our portfolio construction expertise and our Aladdin technology uniquely positions us to meet these client's needs. We are honored to be entrusted to manage the over $30 billion of pension assets for British Airways in the second quarter, through the creation of a bustle bespoke investment and service model. This partnership represents the largest of its kind in the U.K. pension fund, and we believe it will be a catalyst for more transformational change in the industry. We manage over $200 billion in OCIO assets today, and believe that trend towards outsourcing will only continue to accelerate. We are also seeing demand for personalization growing more among the financial advisors and our wealth clients. And we're continuing to invest behind the democratization of tax efficient, personalized portfolios and scale. BlackRock is partnering with financial intermediaries and providing model portfolios, which utilize our broad range of iShares ETFs and actively managed funds, as well as separately managed account strategies across alpha, factor investing and index investing. Building on our acquisition of Aperio, we recently announced a minority investment in SpiderRock Advisors, which will further enhance our ability to provide wealth managers and financial advisors who tax efficient, personalized portfolios and risk management solutions. This is another major step we are taking to advance our market leading franchise in personalizing and personalization of SMAs. Alongside ETFs, SMA is continue to see high growth rates as advisors and personalization and tax management to wealth client portfolios. BlackRock is the second largest SMA provider today with over $200 billion in assets, including Aperio. And we remain focused on investing in a comprehensive platform of solutions and customization capabilities for the wealth management market. BlackRock's commitment to evolve and to meet our client's needs is recently most evident in sustainability. As we adapt to the fundamental restructuring that the energy transition is driving across the economy, we are investing across products, data, technology capabilities, so we can help clients address their impact of sustainable factors on their portfolios and help them capture significant client demand for sustainable solutions. Last year, we began developing Aladdin Climate to fill need in climate risk analytics and to help investors better understand and act on climate risk. Aladdin Climate measures at both the asset and portfolio levels, the impact of physical risks, like extreme weather event and transition risks such as policy changes, new technologies and energy supply. In June, we will further -- in June we further advanced Aladdin Climate through a new partnership with Baringa. The combination of Baringa's climate transition risk models and Aladdin's financial and physical risk models will provide investors with the ability to better understand and customize their risks -- their climate risk exposures. This partnership is a significant milestone in the build-out of Aladdin Climate and will set a new bar in the industry for climate analytics and risk management tools. We're also committed to bringing the benefits our global platform to clients around the world by deepening our local infrastructure. We're investing in people who speak every language to understand local markets and regulations, and have insight into how the changing world intersects with each of our client's goals. This includes investing in the leading -- excuse me -- this includes investing in -- to be the leading global asset manager in China. Rapid economic development and wealth accumulation in the world's second largest economy has propelled the growth of the $9 trillion Chinese domestic asset management industry. Earlier this year, we obtained our wealth management joint venture license. And last month we received our fund management company license. We are the first global asset manager firm to obtain this type of license. We are now well-positioned to extend the breadth of our investment solutions and insights to all our clients segments across China and help more people transition their savings to investments in China, including in preparation for their retirement. With more than half of BlackRock's assets linked to retirement, we are incredibly focused on innovating and helping our clients address the retirement crisis around the world. Client demand for our LifePath target date funds remain strong, with $17 billion of net inflows year-to-date representing a 10% organic growth and outpacing the entire industry. The need for retirement income and retirement is also accelerating. A recent study BlackRock conducted found that nearly 90% of the participants across every generation want a retirement income solution and 96% of plan sponsors feels responsibility for helping their participants generate and manage their income in retirement. BlackRock is developing LifePath Paycheck to address it global -- this growing need. And we're already seeing strong commercial demand with several initial client commitments and support from an institutional and an investment consultant. The incredible momentum we are seeing across our entire platform is a direct result of our dedicated employee base. I have never been prouder of BlackRock's nearly 17,000 employees. I have seen their commitment to our clients and to each other in incredible ways throughout this pandemic. And in recognition of this hard work and to have them share in BlackRock's growth and success, we are investing in our employees through an 8% raise in base salary compensation for all employees up to and including director levels as of September 1, 2021. We strive the cultivated environment at BlackRock where employees feel supported and have a diverse and inclusive environment where they can thrive and grow and build a career in life. After a period like no others in the firm's history, BlackRock has never been better positioned for the future. My recent trips to Europe and the Middle East to meet with our clients have only further validated our differentiated positioning and our approach to building deeper, broader relationships with our clients. We have always led by listening to our clients and hearing what they want, what they need, and through that -- through anticipation and embracing change and innovating and staying in front of our client's needs, that has what driven us going forward. Our fiduciary focus has guided the deliberate -- our deliberateness in terms of investments we have made to build a more resilient asset manager and a more resilient technology platform by anticipating and staying in front of our client's needs. And we will continue to deliver industry leading growth to benefit all our stakeholders for the long-term. With that, let's open it up for questions.
Operator: [Operator Instructions] And your first question comes from Ken Worthington with JP Morgan. Your line is open.
Laurence Fink: Good morning, Ken. 
Kenneth Worthington: Hi. Good morning. Thank you for taking my question. I'd love to dig in further into direct indexing and customized SMAs. So, maybe first, can you give us some additional color and how SpiderRock compliments customize SMAs in your direct indexing capabilities at Aperio? And then you highlighted in your prepared remarks number of times the importance of retirement solutions. So, should we see Aperio and SpiderRock capabilities permeating the retirement management part of your business? And if so, what does this mean for LifePath and its evolution over time?
Laurence Fink: We'd have Rob start off and then -- Rob 
Rob Kapito: So, as you know more clients are looking for personalization and that's what we're seeing in direct indexing. And we are -- our combination with Aperio, which Larry had mentioned, actually enhances our ability to deliver personalized tax manage SMAs and gives us a two-plus-year acceleration in that space, while we continue to organically build additional capabilities for different client segments. So, BlackRock's core SMA capabilities historically were in actively managed equities, fixed income, and multi-asset. Aperio brings experience in building index-based highly custom investment solutions. So, these are our complimentary businesses and they enhance our value proposition for a whole portfolio SMAs across equity and fixed income in alpha factors and index solutions. So, with over $200 billion in SMAs, including Aperio BlackRock is a market leading whole portfolio sponsor. And with the prospect of higher income and capital gains taxes, we've now built a pipeline of over $6 billion in potential new Aperio mandates just since the transaction closed. So, this is an example of how we are getting more into the personalization and direct indexing. And of course, ETF and direct index compliment the tech that we are investing in and building it.
Laurence Fink: Ken, on target date in LifePath and LifePath Paycheck, we put a great deal of energy on LifePath Paycheck. We are in a position now, working with many different plans and we see this revolutionizing the 401k DB plans, corporate plans. We are in discussion with many, many corporations. And I think we have a lot of future growth and a lot of future announcements in terms of our positioning there. This is actually quite separate from what we're doing in the customized side related to Aperio. But we believe this is going to change the retirement business. And we are -- we have worked with all the consulting firms. We have buy recommendations on this from across many of the consulting firms. We are in dialogue with many, many of the plans and we hope in the next few quarters to have some very significant announcements related to the success we are seeing in LifePath Paycheck, which will be changing, as I said. And this is BlackRock responding to the future needs of our clients. So, I think when we are able to announce this with the clients, this is going to really identify how retirement is going to be reshaped and why the need for more of a -- more certainty during retirement -- during the deep accumulation period of time, why that is so important, why there is such urgency around that.  And we are very proud of the R&D work that we did over the many, many years now. And now in these private conversations, we -- it is really resonating more than ever before with our clients across the United States. And hopefully this could be something that we could expand beyond the United States, but this is going to be some -- a significant part of our whole foundation. And the last thing I would just say related to the LifePath target date franchise, we're up to now $370 billion alone without even talking about the LifePath Paycheck. And so, this is going to continue to accelerate where we're taking market share.
Operator: Your next question comes from Craig Siegenthaler with Credit Suisse. Your line is open. 
Laurence Fink: Hi, Craig.
Craig Siegenthaler: Hey, good morning, Larry. I had a question on ETF adoption. I know you covered a lot of this in the Investor Day, but I had a follow-up here. Which client verticals do you think provide iShares the most one to three or upside? And have you seen any significant rise or decline in demand among any declined segments over the last six months? And I'm thinking some of the bigger ones like U.S. RAA, insurance and retail.
Rob Kapito: So good question, Craig. You know that we have said over and over that we see significant room for continued growth in ETFs. And the penetration of the equity and bond markets is still very low. We expect generational shifts to unlock a lot of new growth, especially whole portfolios where ETFs in fee-based are around 11%, new investment capabilities like ESG and overall capital markets replacements where we're seeing ETFs that are about 5% of the total market and 1% of the bond market. We expect to give you a number to throw out by 2025 that ETFs are going to more than double to $15 trillion. And even at that level, we would still be a small part of the markets in which we compete, which is why we think there are decades of growth. And we fully intend to be the market leader in revenue growth and truly organic client driven flows and in total assets as this evolves. And we recognize that we have to offer choice in the vehicles that we show clients, but ETFs, I believe are going to lead in that. So, there are some key client segments. One is Europe, which is adopting very, very quickly. The wealth area through model portfolios of again, of which we are a leader is showing a huge growth. And certainly in institutional clients, primarily in fixed income is showing growth. And then another segment sustainable, which you heard about which we are -- the leader is also showing growth. So, what makes our ETF platform unique relative to any competitor is its diversity and broad client base. So, for example, our global client base is made up of self-directed investors, wealth managers, pensions, insurers, and active managers. We have the most diversified platform with $2.3 trillion in the U.S. and $650 billion in Europe. And $2.3 trillion in equity and $700 billion in fixed income. So you can see how this matches up against the client segments I talked about.  And most importantly, which may be overlooked, we provide the most secondary market liquidity. So, U.S. iShares traded almost $9 trillion in 2020 versus $7 trillion in 2019 and EMEA iShares traded $0.2 trillion in 2020 versus $1 trillion in 2019. So, this along with our precision exposures, which are often unique to us while that has been a drag in prior years, are actually a driver of our strong revenue growth this quarter. So, we're excited about the growth specifically in the segments that we are a leader in today.
Operator: And our next question comes from the line of Alex Blostein with Goldman Sachs. Your line is open.
Laurence Fink: Good morning, Alex.
Alexander Blostein: Hey, good morning, Larry. Good morning, everybody. I was hoping you guys could flush out the expense dynamics a little bit in the quarter, as well as look out further in a year. Obviously, very strong revenue environment, revenues up 25% in the first half. But the comp rate is actually up, on a year-over-year basis for the first half as well. Now, I know performance fees tend to skew that upward sometimes. So maybe help us think through the rest of the year. And then just big picture, your framework around expense management and margins. Thanks.
Gary Shedlin: Thanks, Alex. It's Gary. Good morning. So, let's break it down maybe individually. So, in terms of the comp side, we talked about comp being up about 34% and that primarily reflected higher incentive compensation. And you correctly pointed out that incentive compensation is very much tied to both profitability and performance. And so as we saw higher operating income and performance fees that that definitely ticked up. But we also saw higher deferred compensation year-over-year. That was up by about a $100 million year-over-year. And I'd say there's really two things there. One is, is more ongoing, which is the ongoing impact of additional grants associated with last year's compensation. Obviously, we defer a significant component of current compensation for retention. And last year saw a rather large level of deferrals, especially as it related to performance fees and the level of performance fees last year. That was -- I'd say that's probably about 60% or so percent of that increase. But there was also a one-time, what I would call a crystallization and acceleration of certain compensatory arrangements tied to the success of one of our historical acquisitions. That was probably about $35 million or about 70 basis points on the comp ratio that ultimately should migrate away. Now that that has been settled out. So that's it on comp as I would think about it. Obviously, Larry mentioned the base salary increases, which is more a function of going forward. And he talked all about recognizing the accomplishments of our tremendous employees over the last 18 months. I don't expect that to have a very significant impact on our financials this year, but it could be, given its effective date of September 1st, let's call it roughly 20 basis points or thereabouts on both comp and margin impact on a purely isolated basis for the rest of the year. In terms of G&A, we have -- I think we gave you some guidance at the beginning of the year. We've made no reductions to the discretionary investment spending plans in terms of G&A spend and hiring that we originally budgeted for the year and that we referenced on our call. I think, much as others are, I think we're probably hiring a little slower than we had anticipated. And we're working on that to make sure we can get the employee support to support our growth plans. But we would, as I think is somewhat customary for us anticipate our overall level of G&A spend to be higher in the second half, especially around such areas, like marketing, technology. And then as Larry mentioned, if people get back to traveling, obviously we haven't had a lot of T&E in the first part of the year, but the potential for that I think exists for next year.  And I think -- so broadly speaking, that's it on the comp. There was kind of that one-time issue and on the G&A side, again, our plans are generally exactly the same as we laid them out to you at the beginning of the year.
Operator: And your next question comes from the line of Patrick Davitt with Autonomous Research. Your line is open.
Laurence Fink: Hi, Patrick.
Patrick Davitt: Good morning. Hey, hi everyone. It's obviously hard to handicap the chances of a change in the capital gains tax rate at this point, but are you guys seeing any change in either retail or institutional behavior change in conversations around that concern via specific gain harvesting, or just wanting to talk about options? Should it come through?
Laurence Fink: So not really. I mean, look at, maybe that is one of the reasons that Rob Kapito talked about the personalization and customization of tax efficient strategies. I think across the board, the awareness of after tax returns are becoming more dominant in the RRA channels. But I don't think it's -- excuse me -- I don't think it's reflective yet, and I don't think people are motivated or seeing any real changes in behaviors related to the potentiality of these changes in taxes. But I think there is just a much greater awareness, as the ability now to create customized, personalized tax efficient portfolios. And I think that's what's going to be driven. Rob, do you have anything to add?
Rob Kapito: No. I'd say it's another reason why people are moving towards ETFs, which are much more a tax efficient tool than the typical mutual fund is that they are in. So, actually it's another growth area for ETFs.
Operator: And your next question comes from Dan Fannon with Jefferies. Your line is open. 
Laurence Fink: Hey, Dan.
Dan Fannon: Good morning. Larry, you mentioned that you were having some of the largest conversations or big mandates with clients in previous history. And I was just curious, are you used to give a backlog number on these calls and obviously you're much bigger and more diverse today, but hoping you can help us size you kind of more near term potential flow picture or those dialogues in the kind of size those mandates. So we can think about the potential there.
Laurence Fink: Yeah. Well, you're right. We don't do that and we're not going to do that at this call. But I think when you think about -- and I -- when I referenced the British Airways CI [ph] mandate, we believe this is going to be -- this is just the beginning of more focus on the virtues and the value proposition of -- for these pension funds to rethink how it's organized. Should it be done under a platform like BlackRock and then do we create the efficiencies? And most importantly, are we -- can we have a better fiduciary outcome on behalf of their participants? All of this is about their participants and can we provide a better outcome for the participants? And I really do believe -- we are thinking of that. But we have had some very large wins with a few other clients in the last few quarters. We are in large dialogue with many more, but I want to underscore what the transformation of LifePath Paycheck could be too. These are going to be -- these could be some very large opportunities to, and having the defined contribution business being reimagined and rethought. And that is how we framed it. How can we reimagine and provide better certainty to the participants, how can we provide better outcomes, and how can that lead to a better closeness between the employer and the employees, and how can they build deeper bonds when the employees are retired during deaccumulation period of time. These are broad based solutions that we've been focusing on. No different than the broad based solutions we focus on the needs of focusing on climate in portfolios across the board. And so, I believe what we are -- what you're seeing in the past related to above trend line growth above 5% organic growth is because of these deepening relationships across the board. And as I concluded in my speech, I do believe we are going to continue to see this type of elevated opportunity. And it's because we are so relentlessly focused on how to think about our clients, and help them become better at what they're doing. And I truly believe whatever the outcome of British Air and the other measure that we talked about. And I would say with the strong performance that we've had in our active platform flows generally follow. And when you can have -- no firm can have this, when you could have a dialogue where you are agnostic about the role of index assets, like ETFs and active assets, and then focusing on whether it's tax efficient portfolio strategies, or focusing on a sustainability overlay, or now focusing on outcomes related to more certainty during deaccumulation periods of time. This is what's driving the flows. And this is what I think is differentiating BlackRock, that we are spending more time. We're investing -- as Gary talked about our investments in the future. These are the type of investments we're making and making sure that we are staying in front of the needs of client and providing something unique and differentiated. And I do believe that is resonating more and more. And let me just leave it at that.
Operator: And then your next question comes from the line of Bill Katz with Citigroup. Your line is open.
Laurence Fink: Good morning, Bill. 
William Katz: Good morning everybody. Can you hear me okay?
Laurence Fink: Yeah. Perfectly.
William Katz: Okay. Wonderful. Thank you. So, thank you for taking the question this morning. Great update. Maybe a two part -- I'm sorry. That's two questions, but sort of interesting things going on. One, Larry, at what point do you start to think about upgrading your 5% organic growth rate? It seems like everything you're talking about here has just very powerful and long tail opportunity. And then somewhat unrelatedly, but just sort of following up on your last conversation on the Paycheck opportunity, where is that share coming from? Thank you.
Laurence Fink: I'm going to let Gary answer that because Gary, as a CFO is the one who really -- is the tethering of our platform. And he is also our -- he provides the balance between me and him. And so, I love him, Gary?
Gary Shedlin: Thanks, Larry. Greatly appreciate that thought. So, look Bill, I think that it won't surprise you to hear a lot of the same answers that I've traditionally given you on that. I think we feel very good about our organic growth potential going forward. I think it reflects the platform we've built. I think it reflects global reach, full range of investment capabilities, integrated risk, great performance. But as you know, growth is also somewhat tied to markets in particular. And I think some of the growth that we're seeing today, clearly as a result of the type of environment that we're in. And so, we try not to get too focused on a particular environment, but really look across cycles. And I think if you look at what we've done over the last five years, we've actually averaged the amount of 5% organic base fee growth over the last five years. And while we've actually -- I think really the more important piece of this is not how fast we necessarily grow in a more risk on environment, although I know Larry doesn't like that term. I think the reality is that when we see the markets fall back, we stay positive. And so even in tough markets, like 2016 and 2018 where the industry was roundly negative, we were still in positive territory. And I think I would also remind you that, look, the industry is basically right around 3% in terms of where everyone thinks the industry more broadly is going to grow. So at 5% we're already growing, if you will, at a 60%-plus premium to where we think the industry is. And we feel very comfortable with that, because of our breadth, because of our solutions orientation and our technology platform. I think we feel very good about both secular growth more broadly, and maintaining share in places like ETF. We feel like we have a ton of room to run in places like illiquid, where the market is growing and we're generally still low single digit share. When we think our investment performance positions as well to continue to play a major role in active. So, for the moment, until we get through this cycle and see where we come out the other side, 5% is the target and we feel very good about our performance going forward relative to that.
Laurence Fink: LifePath Paycheck, as I try to frame, it is U.S. based so specifically -- but we're redefining defined contribution business in the United States. I think that's what it is. But globally it was -- retirement is a $70 trillion -- has a big gap. We need to rethink retirement as we moved away from DB, but we need to find better ways of creating more certainty in a defined contribution world. I think this is one of the big problems we have in our society today, the uncertainty of retirement. And this is one of the problems that we've been focusing on for years and years and years to try to find a way to have something closer to a defined benefit, but having it still being in a defined contribution way. And I think there's just great opportunities. And we're having robust conversations on this, Bill. And I think it's going to reshape or reimagine or redefine the defined contribution business.
Operator: And your next question comes from Michael Cyprys with Morgan Stanley. Your line is open.
Laurence Fink: Hi, Michael.
Michael Cyprys: Hey, good morning guys. Thanks for taking the question. Just had a question here on Aladdin. I was just hoping you could update us on the pipeline. I recall in the past you had spoken about a slowdown in implementations, but given the recovery here, the reopening, just curious if you think we can see that accelerate? And then also on the technology services revenue, I think that was up about 14% in the quarter, but the ACV was up a bit higher than that. So, I was just hoping you could help unlock some of the moving pieces there between your ACV definition and the technology services. I think your ACV excludes some of the consulting fees and implementation fees, just hoping you might be able to quantify how much that is relative to the overall technology services line. Thank you.
Gary Shedlin: Thanks Mike. So, again, we're not going to get very specific on pipelines, but we will give you some tonality on Aladdin growth rate. So, I think as we've talked about, there's clearly increased client demand accelerated by COVID for comprehensive whole portfolio solutions that involve greater systemization, fewer vendor relationships as a number of financial service companies and other insurers, asset managers, and funds try to minimize their costs. And more importantly, trying to basically take down the number of data sources that they're relying on. We feel that growth going forward is going to be a function of a number of things, but it's going to be primarily gaining new clients, expanding relationships with existing clients, expanding the platform through enhanced functionality and products, and obviously under -- expanding into under penetrated geographies, most notably, Europe and Asia. With that, what we've said at Investor Day, and we'll continue to reinforce is given all of that, that our pipeline is as strong as it's ever been. And we continue to reaffirm our low to mid teens growth rate for technology services revenue. As it relates to ACV, ACV was up 16%. And as you correctly note, we do have -- we're migrating a bunch of the eFront business over to Aladdin in terms of its hosted model, as opposed to its traditional model, that does, as you say, have different accounting ramifications. And so, we decided to put ACV out as a key performance metric, because we think it better reflects the overall momentum of the business, and takes away some of the timing and accounting changes from migrating models over. So, ACV was up 16%. And I think as you also correctly note, that's probably a little faster than we would expect the longer term to be given our target. And I think that's a function of some of the business coming through today at a more rapid rate, that was delayed from a year ago in the early days of the pandemic, as we highlighted a longer sales cycles and contracting periods. So, we're definitely seeing a little bit of an acceleration there, but again, reaffirming our low to mid teens growth outlook.
Laurence Fink: I would just add one thing or two things. One is -- and there's a lot of this before my meetings in Europe last week, the demand for data and analytics on sustainability is going to grow exponentially. And this is why we've been so aggressive in terms of building out our analytics data across the board. And I do believe this is going to be a major sleeve and major opportunity for Aladdin. Aladdin Climate is going to be a major component of Aladdin, and we believe having the differentiating data and analytics is going to be further -- why clients are going to be looking to add on Aladdin across our portfolio. The way -- what we've witnessed since the acquisition of eFront to the need for data and analytics related to alternatives and across all the alternatives space integrated in a comprehensive data and risk analytic environment is really, really important. So, if you overlay the movement into capital markets and client demand and alternatives, if you overlay the demand for clients that related to sustainability and climate, that's going to be a major change and that's going to be a major component of it. And that's why some method tutorial [ph] is now having that role, and helping us drive Aladdin Climate. So, as you moves away from our client relationships. I'd leave it with that.
Operator: Ladies and gentlemen, we have reached the allotted time for questions. Mr. Fink, do you have any closing remarks?
Laurence Fink: Thank you, operator. I want to thank everybody for joining the call this morning and your continued interest in BlackRock. Our second quarter results, again, are a result of the steadfast commitment of focusing on our clients first and importantly, thinking and investing and anticipating their needs in the future. I see a tremendous opportunity ahead and BlackRock's full focus remains on the long-term fiduciary commitment to all our clients worldwide. We will continue to invest in our business so we could deliver that long-term value for our stakeholders and lead the asset management industry and the many, many years ahead. Thank you again and have a great remainder part of the summer. And unless everybody hope to have a great third quarter, talk to you then. Bye-bye.
Operator: This concludes today's teleconference. You may now disconnect.